Operator: Good morning. My name is Amanda and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Granite Construction Investor Relations’ Third Quarter 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise and after the speakers remarks there will be a question-and-answer period. (Operator Instructions). It is now my pleasure to turn the floor over to your host, Granite Construction Director of Investor Relations, Ron Botoff. Sir, the floor is yours.
Ron Botoff: Thank you. Welcome to the Granite Construction Incorporated third quarter 2014 earnings conference call. I’m here today with our President and CEO, Jim Roberts and our Senior Vice President and CFO, Laurel Krzeminski. We begin today with an overview of the company’s Safe Harbor language. Some of the discussion today may include forward-looking statements. Actual results could differ materially from the statements made today, so please refer to Granite’s most recent 10-Q and 10-K filings for a more complete description of risk factors that could affect these projections and assumptions. The company assumes no obligation to update forward-looking statements, whether as a result of new information, future events or otherwise. A reconciliation of non-GAAP results is included as part of our third quarter earnings press release. Certain non-GAAP measures may be discussed during the call and from time-to-time by the company’s executives. For more information, please visit our Investor Relations website at investor.graniteconstruction.com. Thank you. Now I would like to turn the call over to Granite Construction Incorporated Chief Executive Officer, Jim Roberts.
Jim Roberts: Thank you, Ron and good morning everyone. Before I hand it over to Laurel for her detailed results, I want to start with a heartfelt thank you to all of our people who are working harder and safer than ever before in the history of our company to improve execution to drive financial results and to build America’s infrastructure. When we last spoke with you at the beginning of August, we were encouraged by a solid overall start to the year. We were encouraged by improved private market activity. We were encouraged by the strong bidding and backlog trends in our business especially in large projects. But we were frustrated by the continued inaction by COMPASS to commit to long-term funding solutions for pressing near and long-term infrastructure needs, forward to today. The solid first half start materialized into a third quarter of modest overall margin and profit improvement. Private market activity remains a key driver of improved performance in our construction materials business. Backlog trends continued to strengthen reflected by current record backlog of $3 billion. And the large project market remains robust providing Granite with opportunities for profitable growth. In the third quarter, the Construction Materials segment again posted improved results. We are focused on driving even better returns in this business. And I am confident that our emphasis on efficiency and cost management coupled with pricing improvements will continue to provide overall improved results. Our construction business performance was largely in line with last year’s third quarter. We’re benefiting this year from customer and end market diversification as private market activity continues for bolster broader improvement. But the weaker than anticipated pace of public spending has been a headwind in the second half of 2014 as ample sector capacity continues to keep the competitive bidding environment tight across geographies as it has been for more than a year. Overall, positive backlog trends in the business paired with on balance stable markets should help us grow this part of our business. And we expect positive profit impacts in 2015 from continuous improvement efforts on both across and inefficiency basis. In Large Projects progress continues on the Tappan Zee Bridge in New York, the IH-35E project in Texas, on I-40/440 in North Carolina, both the San Clemente Dam and the Folsom Dam in California, as well as the large power project in Midwest. We also were pleased to book the I-4 Ultimate project in Florida into backlog in the third quarter as expected. These projects are progressing solidly, albeit collectively at modestly slower pace than we anticipated earlier in the year. As has been the case since last year, a number of projects again contributed revenue in the third quarter but have not yet recognized profit. We continue to expect profit recognition along with associated revenue on a substantial amount of this work in the fourth quarter. Market conditions continue to vary widely by geography and end market. While patchwork federal funding covers spending obligations into May of 2015, this only stabilizes current projects and select highway and public transportation programs in the procurement phase. Given the lack of long-term visibility, state and local government letting programs may prioritize maintenance projects over the letting of major capital projects. State and local agencies have delayed projects, pushing bidding opportunities out from one to three quarters. Despite project bidding delays in some western markets, the good news is that these projects are moving forward, just at a slower pace than we anticipated earlier in the year. Notably that does not have an impact on the market for large projects especially those that involve alternative procurement methods. A good example is Granite’s public-private partnership team that was notified recently about successful bid on the Pennsylvania Rapid Bridge Replacement Project. Looking ahead, we expect to bid on more than $11 billion of large projects through the end of 2015, with about half of the value of any potential Granite backlog. Notably more than $7 billion of this total is currently scheduled to bid over the next six months. I know it sounds like a broken record, but let me repeat myself. Long-term planning and long-term funding solutions are a necessity to ensure America’s infrastructure does not become a headwind to broader economic development. As we approach to the end of the year, there will be four drivers of our fourth quarter results. First, project execution emphasizing safety, quality and production efficiencies. Second, large project property recognition coupled with overall job progression. Third is weather. Typically I try to avoid the weather issue, but this year we had a very large backlog of work across the country. We will be able to build as long as Mother Nature allows us to work. The longer we work this year, the better our operating results will be. The month of October generally treated us very well in that regard. And fourth, we have near-term opportunities to settle substantial outstanding claims and change orders. The total estimated range of claims and change orders attributable to our current portfolio has created significant revenue and profit timing variability in both the large project and the construction segments. Typically, in most contracts, while there is a formal process of mechanism for change orders and claims, we are required to continue to perform the work as directed by the owner. They don’t recognize a zero offsetting revenue until formal resolution occurs and this nearly always is not aligned to the project progress. So, we assume all costs, we collect no revenue and we received no profits. Upon formal resolution, revenues and associated profits are booked at ones. We anticipate resolution of a number of these outstanding issues by year’s end, while this is not a new phenomenon, the timing and volume of near-term outstanding issues has impacted our results significantly to-date in 2014. Our focus has not strayed from improved execution and intern on improved financial performance across the enterprise. Our continuous improvement investments remained on track and we continue to balance and leverage opportunities across segments geographies and end markets to execute on our long-term strategic plan in 2014 and well beyond. With that, I will turn the call over to Laurel.
Laurel Krzeminski: Thank you, Jim and good morning everyone. Revenues in the third quarter of 2014 totaled $720 million, a 2.7% decrease from last year. Diluted earnings per share in the quarter were 0.38 compared to a revised $0.33 last year. Gross profit margin in the third quarter was 9.3%, up more than 170 basis points from 2013. Construction Materials and Large Projects segment profit were drivers of the improvement. Contract backlog totaled a record of $3 billion at the end of September, up about 8% year-over-year. Construction segment backlog of $817 million increased nearly 16% from last year. Our Large Projects backlog increased 5.1% year-over-year to $2.2 billion. This total does not include the recently announced successful bid on the Pennsylvania Rapid Bridge Replacement Project, which is expected to add about $360 million to backlog in the fourth quarter. As expected, backlog continues to trend positively, which gives us the opportunity to get off to an excellent start for 2015. Looking at the segment detail, construction segment revenues in the third quarter decreased 5% to $447 million with gross margins slightly better than last year at 10.9%. As we experienced last quarter, construction revenue again was impacted by weaker-than-expected public market conditions in the Northwest and timing of some of our power work. Profit performance was driven by improved performance in certain Western markets and by stronger power and underground profit margin contributions. Large Projects construction segment third quarter revenue decreased 3.5% to $179 million driven by job progression. Gross profit margin improved more than 430 basis points to 3.2% from the last in 2013. Project profit recognition and dispute resolution continued to be major drivers of overall 2014 margin performance. In fact, year-to-date in 2014, segment revenue on which we have not yet recognized profit totaled $111 million, up $60 million from last year. Construction Materials segment revenues increased 12.1% year-over-year to $93 million in the third quarter. Segment gross profit margins increased more than 430 basis points to 13.1% from 8.8% last year. We are focused on maintaining this positive momentum as volume and profit growth in 2014 has been driven by improved by market conditions, project-specific sales and improved pricing and operating efficiency. SG&A increased 4.1% in the third quarter to $47 million, driven again by increased pre-bid selling cost and by our ongoing investments and continuous improvement. And the balance sheet remains strong with more than $269 million in cash and marketable securities at quarter-end. As noted in our earnings press release, long-term funding solutions are critical to meet the increasing demand for infrastructure projects across the U.S. We recently experienced some delays in project awards and lettings. The delays which were unanticipated in 2014 and a potential benefit to our business in 2015 highlight how swiftly current federal funding uncertainty impacts the timing of public sector work. In light of this, we have updated our guidance for 2014. We continue to expect significantly improved gross profit in 2014 and consolidated EBITDA margin of 5% to 7%. And we now expect consolidated 2014 revenues to finish at or near the bottom of the previously announced $2.4 billion to $2.8 billion range. Now, before we take your questions, let me turn the call back to Jim.
Jim Roberts: Thank you Laurel. We are encouraged by improved results in many areas of the business especially in light of mixed market conditions driven by ongoing static public infrastructure funding trends. Growth and efficiency opportunities continue to prevent themselves, as we begin to drive some early benefits and focus our direction for current and coming ways of continues improvement activities throughout the company. And with that, we will now take your questions.
Operator: (Operator Instructions). Our first question comes from John Rogers with D.A. Davidson. Your line is open.
John Rogers - D.A. Davidson: Hi. Good morning
Laurel Krzeminski: Good morning.
Jim Roberts: Good morning John.
John Rogers - D.A. Davidson: I guess first thing, Laurel just little clarification, you said a $111 million of revenue with unrecognized profit, was that the quarter or is that year-to-date?
Laurel Krzeminski: That’s year-to-date.
John Rogers - D.A. Davidson: Okay. And then, my next question or follow-up on that is with the margin range that you’ve given us; you’ve got a 2% delta in there on $2.4 billion as $48 million in swing in revenue -- or in profit in the fourth quarter, is that the right way to think about, how much is potentially out there for some of these project adjustments or catch-ups if you will?
Jim Roberts: Well, let me help out a little bit here.
John Rogers - D.A. Davidson: I mean the 25% in the claims? Thanks Jim.
Jim Roberts: Yes. Sure John. Thank you for the question. Because so, yes, there is two things -- well there is three to four things that will really drive that relative range of 5% to 7%. And as I mentioned in my discussion points there, number one is how much we progress on these projects as we go forward to the rest of the year. And these are large projects with progression and will make a big difference in both revenue and earnings. Number two is the fact that we have some that are going to reach profit recognition in the fourth quarter, several jobs will reach profit recognition which will take them provide profits along with associated additional revenue. And number three and kind of four -- number four up to number three is these claims and outstanding complex resolution, which are substantial right now. And that’s not really quantified in any of the discussion points that Laurel and I brought forward there, but except to say that we have more outstanding today than we had in the long time, and we expect a lot of these conflict to be resolved in the fourth quarter. And what happens is -- you know our business well John, is that we have to work all of the costs associated with these outstanding issues in advance. And then once we get resolution, we book the revenue, which the majority of revenue typically goes into gross profit as well. So that’s a big turning event for the fourth quarter and early 2015 as well. And then lastly is weather. We’ve got really healthy backlog right now. We are running on all cylinders across the country. And if we can get good weather, we can really have an outstanding fourth quarter. And first part of the quarter was good, we had good weather. So we’re really looking forward to some nice weather over the next few months which will drive really nice results for the business.
Laurel Krzeminski: Yes. And we expect three projects to reach profit recognition threshold in the fourth quarter as well.
John Rogers - D.A. Davidson: And what are those projects, could you say?
Laurel Krzeminski: 540, 440 IH-35E and U.S. 36 Phase 2.
Jim Roberts: Correct, yes.
John Rogers - D.A. Davidson: Okay, perfect. Thank you. I’ll get back in queue. 
Jim Roberts: Okay, John. Thank you.
Operator: Our next question comes from Jerry Revich with Goldman Sachs. Your line is open. 
Jerry Revich - Goldman Sachs: Good morning.
Jim Roberts: Hi. Jerry.
Jerry Revich - Goldman Sachs: Could you please just parse out some of the pieces of the sales performance in the quarter within large construction? The typical seasonality is for 20% increase and this quarter sales were down 27% sequentially. I’m wondering if you could just quantify how much of that was delay in work due to delay on the highway funding side versus how much of that is variance on the change orders that weren’t improved, whether any sense around the sizes of those three pieces within the segment would be helpful.
Jim Roberts: Okay, Jerry. Thanks. So, the three segments and I want to focus little on Materials when I get chance here as well which will be nice. Both Construction and Large Projects, as you noted, were down slightly from the previous year, a combination of events. Literally on the construction side, a little slow start actually. We did not do as much work over the third quarter as we typically would have liked. And then we really started tipping on a lot of these projects, the work’s got delayed and we really started hitting the Granite run in the September and we anticipate running hard in the Construction business through the remainder of the year. As we have really nice backlog and we’re full of business, we just got to get a little mother nature to help there. So that one, Construction was mostly just delays in the work. On the Large Projects side, again really lumpy as to how we progress with that work, a little slower progression on some of the larger projects which will provide less revenue in the short-term plus some pretty sizeable one-time outstanding complex resolutions, Jerry, in that business, which again we don’t get the revenue on our books until we get to resolution. So, you’ve got the little slower start on some of these large projects even some projects that we have awarded, but we haven’t started yet, which means no revenue. Those coupled with the fact that we have some large outstanding complex really of a difference; they are in pretty sizeable differences. And then on the positive side, as you can see in the materials business, it’s actually up and it’s up sizably both on the top-end and on the bottom-end. And the nice part about that business is that it has really started to come back strong. And we have a very nice backlog of work for that to carry us through the fourth quarter and the early part of next year as well. Does that imply a little color, Jerry?
Jerry Revich - Goldman Sachs: Sure. Thank you. And then maybe you could just comment on the sequential performance within large projects specifically was because it sounds like you’re ramping on a couple of projects. I guess I was surprised; revenue wasn’t up sequentially in 3Q versus 2Q, which would be the typical seasonality. So, I am wondering if you could just provide a little more quantitative color within that segment out of the $60 million or so sequential decline, how much of it was project delays versus the change or refuse just because of the deviation versus normal seasonality there?
Jim Roberts: Yes. So again, those hard projects are really difficult to look at any seasonality because they progress at their own pace. And based on the type of work that we’re performing, really isn’t a seasonal as the construction work. But slower start did not get as much done in third quarter maybe as we would have thought, but I’d say that at the same time we have some delays on some change orders, we have some delays on resolutions. And it’s really I’d say the project progression has the ability to make itself up in the fourth quarter, if we have a good fourth quarter. Again, a little bit from one quarter to the other $60 million on the size of that work can move itself from one quarter to another quarter quite easily, Jerry.
Jerry Revich - Goldman Sachs: Okay. Thank you. And then lastly, can you just talk about the overall prospects that you’re looking at over the next 12 months, quantify what amount of work you are bidding on and how do you expect the cadence of awards for some of the larger jobs to play out within that timeframe?
Jim Roberts: Sure. You bet. In fact, one thing I didn’t mention is that we also, as we approach to this larger work, there is a lot of different procurement methods that are out there today. And we’ve actually been selective in a couple of these procurement methods to negotiate large projects with owners. And we’re in the negotiating phase on several of them right now. So, when you look at large project letting down in front of you, some of them are really not procurement, they are more pricing and negotiations and we have two large ones that we’re working on right now with revenues in excess of $300 million that we’re hoping to book in the fourth quarter and first quarter of next year. In addition, we’ve got another about $11 billion of projects all over the country. These are larger projects only that are bidding in the next 12 months. We’ve got about $7 billion that we’ll bid in the next six months. So, it has not slowed down. And I’ve said this before; I think the last quarter call, Jerry, what we’re really looking at today is increasing our win rate and being very selective on the work that we bid so that we have a better opportunity to procure the work and bring it home with less severance cost in terms of our overall cost estimate and bid this work. Very healthy pipeline, it’s full, we’re returning work away that we don’t think has the best chance for opportunity. And actually down the road here we’re tracking in excess of $60 billion of large projects going forward as well. So, we’re monitoring it on a 6 month to 12 month and then go forward basis from there as well.
Jerry Revich - Goldman Sachs: Thank you.
Jim Roberts: You bet, Jerry. Thank you.
Operator: Our next question comes from Alex Rygiel with FBR. Your line is open.
Alex Rygiel - FBR: Thank you. Good morning, everyone.
Jim Roberts: Good morning, Alex.
Alex Rygiel - FBR: Jim, any chance you could quantify these claims and change orders, sounds like it’s a big number, sounds like a lot of it is hit in the fourth quarter and/or first quarter. Is there any way you could bracket the range?
Jim Roberts: Alex, I’d really prefer not to relative in the bracket, we are in negotiations with a lot of our owners and therefore it’s important that we really hold to our confidentiality. But I would say this that they are substantial and they are built into our guidance for the year. And that’s where we end -- I think we’re going to end up for this year, but also even noting that, Alex, there are a lot of them that we’ll also carry into 2015 as well.
Alex Rygiel - FBR: Okay. And then were there any specific delays on the large projects in the current quarter that seemed odd to you and/or have continued in good effect revenue in the fourth quarter?
Jim Roberts: Well, I don’t say odd, because obviously we are still forcing this business, we know where every step is as it approaches. But I would say a little slower progression on some work. And I would say that we had anticipated to get a little more revenue on some of the new jobs and they had just started off a little slower, which is not odd or totally out of line, it’s just pretty standard protocol in a lot of these environments today, which takes a little longer to get the award, a little slower once you get gone. But when they start hitting really into the middle of the job is when the progression really starts picking up.
Alex Rygiel - FBR: And then lastly, it sounds like pricing in the materials business is starting to improve a little bit, any way to quantify that? Has it continued into the month of October?
Jim Roberts: Alex yes. We’ve put out price increases at the beginning of the year and they have stuck. And as you can see in the numbers that part of the business is performing quite well. One of the things that’s really important in that business is that when the economy picks up, then what happens is some of our higher price products start to move out the gate. And that’s what we’re starting to see. And those higher price products carry a higher margin with them. And so, if product mix is a real key to the bottom line of the Materials business. And I will say this, October was a good month; we have backlog through the remainder of the year in the Materials business; and we have a nice backlog carry forward to next year in the Materials business already. So that has changed quite a bit over the last 12 months. And I actually went back and looked and we’re going as well better than we have in five years in that business. And that’s a really nice change and it’s a very, very nice business to have to stabilize the overall business as well.
Alex Rygiel - FBR: That’s great. Thank you very much.
Jim Roberts: Thank you, Alex.
Operator: (Operator Instructions). Our next question comes from Michael Dudas with Sterne Agee. Your line is open.
Michael Dudas - Sterne Agee: Good morning gentlemen, Laurel. 
Laurel Krzeminski: Good morning.
Jim Roberts: Good morning Michael.
Michael Dudas - Sterne Agee: First question, Jim, I want not to predict the election on tomorrow, but is -- expect that Republic can win in the Senate, how would that imply what you’re feeling or what the industry is feeling about the more certainty in ‘15 relative to funding, even if it’s a lower less longer term basis but is there some changes that occur, is there anything going in the state Houses or Governors’ races or anything that could be helpful towards breaking some -- get some more of visibility on the local fund?
Jim Roberts: Let’s talk about Fed first Michael. Actually I think that if predictions come true and republican takes over Senate and you’re going to have a Republican Housing Senate and leadership, Republican leadership has made it clear to us as we chat with them that they want to get a long-term highway bill. So that’s positive. And if you can get the Senate and House working together for a long-term highway bill that’s going to create some very nice stability. In addition, to Republican leadership along with Democratic leadership have both agreed that there needs to be an indexed or some type of a long-term bill with increases built into it. So that’s good news as well. I am actually pretty confident right now that we’re going to get a nice highway bill by May of 2015. I was not confident that we were going to get anything done by September 30th and that obviously occurred. And I am not overwhelmingly confident that we’re going to get anything done prior to the changing of the House and Senate members; in other words a lame-duck session. But I’d tell you, everybody that we have chatted with I don’t care if it’s a Republican or Democratic has made it very clear that they believe a long-term highway bill is very important and they believe it needs to be indexed and it needs to be self funded. You can’t continue to borrow from the general fund to create a long-term value proposition and infrastructure improvements. So I am actually pretty confident about May of next year. As we go to the Governors’ races, I actually think the states are stepping up pretty good right now. Most of the states are really looking at balanced budgets; some of them -- maybe California has a proposition today to put money away for a rainy day fund and we’re starting to see local municipalities, several sales tax revenues, gas tax revenues, issues that are on the ballet to create and stabilize local funding. So state and local, I am actually pretty confident what’s going on there. And I think that if we can get a just a Housing or Senate to work together, I actually get very confident that we’re going to get a nice bill in there, for the quarter I should say.
Michael Dudas - Sterne Agee: Jim, I appreciate your comments. Thank you.
Jim Roberts: Thank you Michael.
Operator: Our next question comes from Nick Coppola with Thompson Research. Your line is open.
Nick Coppola - Thompson Research: Hey, good morning.
Laurel Krzeminski: Good morning.
Jim Roberts: Good morning Nick.
Nick Coppola - Thompson Research: So, in construction, we’ve talked about expecting a busier second half. And so what changed relative to your views last quarter? And then as a follow-up to that, we’ve had three quarters of year-over-year declines in construction. And so, why wouldn’t we be seeing at least flattish volumes given a flattish funding improvement and an improving economy in California? I’m just looking for some more puts and takes there?
Jim Roberts: Yes, good question Nick. So, I think that what happened for us in construction is we’ve got kind of a slow start this year. And you mentioned that you had a couple of quarters here of lower than anticipated revenues. And what happened was a lot of projects got pushed off, got delayed in the awards, but the nice part and I’m going to offset that with the fact that our backlog is up in the construction segment and we’ve really started working on all cylinders quite late in the year and I’d say in about September. And that’s why I actually think we’re going to have a really nice fourth quarter in the construction business, now that the overall backlog is up. I also think that and I noted in my script, Nick, that we have outstanding concept resolution issues in the construction business as well. So, that has pulled back a little bit on the revenue side because we don’t recognize that revenue until those resolutions are executed as well. So, coupled with a slower start, although I think that you are going to see that right now, we’re working quite in a good pace in the construction business, coupled that with more outstanding issues that are revenue and bottom line revenue, a lot of that will take place in the fourth quarter and carry forward to next year.
Nick Coppola - Thompson Research: Okay. That’s helpful. And then I guess you call this is a housekeeping item, but when do we expect San Clemente down to hit. Is that being pushed out to Q1?
Jim Roberts: No, no. That actually hit in the third quarter and it’s ramping up now, just got over the threshold to March and is starting to really build momentum as we speak.
Nick Coppola - Thompson Research: Okay. And then last one for me, we’ve talked in the past about PPPs being a key driver of growth in large project. And just generally, are you seeing any acceleration on that front? Are you speaking more PPP projects getting underway or speeding?
Jim Roberts: Well, I will tell you this, Nick, the majority of these jobs and I’ve got a list of them in front of me. There is a big chunk of these now that have P3 components in them. And just got a list of the TIFIA finance jobs that have actually got TIFIA money in them and that picked up at pace. So, people are starting to really see the value in 3Ps. The I4 job that we just got awarded; the Pennsylvania 500 job that we just -- we were notifying that we’re the successful bidder on that. Those are all 3Ps. And so almost everyone of these big one is looking for a component to help finance them. And the 3Ps is picking up pace. In fact, we’ve got full time people in Granite working on just creating arrangements with our Concession Arizona Partners to make sure that we’re a solid player in the P3 market.
Nick Coppola - Thompson Research: All right, that’s great to hear. Thanks for taking my questions.
Jim Roberts: Okay, Nick. Thank you.
Operator: Our next question comes from Brian Rafn with Morgan Dempsey Capital Management. Your line is open.
Brian Rafn - Morgan Dempsey Capital Management: Good morning, everybody.
Jim Roberts: Hey Brian, how are you?
Laurel Krzeminski: Hi Brian.
Brian Rafn - Morgan Dempsey Capital Management: Give me a sense, Jim, when you talked about these change orders and claims. Are these episodic or is this a more of a function of how the owners are operating business going forward?
Jim Roberts: I think it’s both. So, historically we’ve always had contractual obligations in most of our contracts where if we are directed by an owner to go work on a part of a project or something additional that we have the right to put a notice of potential claim out. And until we come to resolution, we’ve always just gone out and done what the owner ask then we come to some overall total amount of value and we hand it to the owner for a change order so to speak. The issue today is that the size of these changes is getting more, is getting substantially larger. They could be episodic relative to individual events and then an owner comes back and says, okay, just go do it and then we’ll negotiate the price later or it could be just unit-by-unit-by-unit that is excessive to what was anticipated. But as projects get bigger the amount of these outstanding issues get bigger. And I actually believe that owners are really moving in the direction of wanting to see the valuation before they give dribs and drabs of revenue. They wait till the end and provide what we call one lumpsum change order.
Brian Rafn - Morgan Dempsey Capital Management: Okay. All right, that’s helpful. You talked about being a little more selective, I think you’ve done that over the years on bid day. Are you still seeing the same especially in the large heavy civil part, are you still seeing that same number of senior road builders, competitors on bid day for a project, is it expanding or is it decreasing?
Jim Roberts: I would say that it’s actually decreasing, Brian. And one of the things that we’re doing also is that we are really selecting projects that are only prequalified three to four bidders. And therefore that’s what almost a requirement for us to go forward in this large projects environment because of the cost of bidding this work. And most of the owners are beginning to see that. They understand how much it costs to put these bids together. So they’re willing to lower to a very small select group in the bid process and then they can actually pick the best value, not necessarily the low price. And that’s the kind of environment we like working in. And I think in order to get more sophisticated and actually wanting to see the highest value bidders versus the lowest pricing bidders.
Brian Rafn - Morgan Dempsey Capital Management: Yes, okay. And then Jim on the Materials side, what’s the percentage internal versus external usage? And then would you say anecdotally that your capacity utilization in the Materials side is on a delta basis is at higher in 2014 than it was in 2013?
Jim Roberts: Okay, so a couple of questions. I think we’ve moved a little bit closer to probably 55%, maybe even 60% external today which is why you’re seeing the margins go up and the revenue go up because we are really focusing a lot of our Materials business on external sales. So it’s moving into a higher range. And interestingly enough Brian you’ve been around down for quite some time, this is kind of how it was in the late let’s say ‘07 and ‘08. When the economy picked up, we had more external sales and higher margins. And that’s kind of what we’re coming back to now, which is a really good thing. Capacity wise, no issue on capacity at all. We’ve built up our capabilities. We’re getting obviously more utilization out of our plants than we have the last couple of years but we nowhere close to having [utilization] of the capacity to even consider any kind of lack of capabilities that provide product to our customers. 
Brian Rafn - Morgan Dempsey Capital Management: All right, thanks Jim.
Jim Roberts: Thanks Brian.
Operator: (Operator Instructions). Our next question comes from John Rogers with D.A. Davidson. Your line is open.
John Rogers - D.A. Davidson: Hi. Jim, just want to follow up. Now that you’ve had it over a year, how is Kenny’s contribution and is that hitting expectations?
Jim Roberts: Well, Kenny’s contribution, as we discussed is definitely accretive and operating very close to what our expectations were, on the bottom line -- a little bit less than anticipated on the top side which is maybe why you can see some of our revenue where it is today. Bottom line is very close to where we anticipated. And they have a tremendous amount of opportunities out in front of them to grow their revenue considerably on the top side is where we’re kind of headed with Kenny is to try to get the revenue up.
John Rogers - D.A. Davidson: And does that give you more confidence or more interest in additional acquisitions or there opportunities out there?
Jim Roberts: Yes. I think there are John. And I think we are definitely beginning to look at additional opportunities as well. We want opportunities that fit our strategic plan as we’ve discussed, diversifying the business and the end markets, additional end markets. And we’ve labeled quite a few of those that we’re focusing on and in addition, expanding our current vertical integrated business geographically as well. And we are looking at all opportunities now.
John Rogers - D.A. Davidson: Okay. Thank you.
Jim Roberts: Thanks John.
Operator: Our next question comes from Matthew Dodson with JWEST LLC. Your line is open. 
Matthew Dodson - JWEST LLC: Yes, you alluded to on the aggregate side that you had seen strength and that you raised prices at the beginning of the year. Several of the other competitors have talked about a second price increase here in the fall and I hope I didn’t miss it. But did you guys allude to that you had a second price increase here in the fall?
Jim Roberts: Let me put it this way, Matthew and welcome to the Granite call here. We have minor increases throughout the year as certain products start becoming more prevalent, but we don’t go across the partway through the year, we go market-by-market. And so yes, there have been some price increases during the fall. And one thing to think about is that, we also let our customers know that there will be a price increase at the end of the year, but most of the product, if they’re taking between now and the end of the year has already got fixed prices attached to it. So we’ll see the benefit of higher prices in the early part of next year.
Matthew Dodson - JWEST LLC: Okay. And then may I just follow-up? Do you anticipate -- several players have talked about a price increased at the beginning of the year. Is that something you potentially anticipate in the stronger markets or I don’t know if you want to comment on that?
Jim Roberts: Well Matthew, I think the answer to that is yes. And yes, absolutely we are working towards that as we speak that when we get into the strong markets of which we have several, we certainly look at getting price increases at the beginning of the 2015.
Matthew Dodson - JWEST LLC: Okay. And I do apologize. Can you just help us understand the markets that you see that are the strongest?
Jim Roberts: Well, I try not to focus just on individual states or markets. But I would say in general, all the markets are improving period-over-period, which means that as the states we work in, and Matthew just to note, the majority of the Materials products are coming from the Western U.S., California, Nevada, Arizona, Utah, Washington and up in Alaska. And all of those markets are improving which is a nice sign.
Matthew Dodson - JWEST LLC: Okay, great. I wish you the best of luck and thank you so much for answering my questions.
Jim Roberts: Thank you, Matthew.
Operator: This is the end of Q&A. And now I would like to turn the call back over to our host.
Jim Roberts: Well, thank you everyone for your questions. And again I want to thank the Granite team for their focus on safety, quality and efficiency as we look ahead to closing out a very strong 2014. We have shareholder visits planned in three of the four corners of the country in the fourth quarter. We’ll travel across the Midwest to Southeast and the Northeast. Please do not hesitate to reach out to see if we will be able to make it your way. And finally, Laurel, Ron and I are available for follow-up if you have any further questions. Thank you all.